Operator: Good day, and welcome to the Trinity Biotech First Quarter 2021 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator instructions] Please note, this event is being recorded. I would now like to turn the conference over to Joe Diaz of Lytham Partners. Please go ahead.
Joe Diaz: Thank you, Betsy, and thanks to all of you for joining us today to review the financial results of Trinity Biotech for the first quarter of 2021, which ended on March 31, 2021. Joining us on today’s call is Ronan O’Caoimh, CEO of Trinity Biotech; and John Gillard, CFO. At the conclusion of today’s prepared remarks, we will open the call for a question-and-answer session. Please be aware that statements made in the course of this earnings call may be deemed forward-looking statements within the meaning of federal securities laws. These statements are subject to known and unknown risks and uncertainties that may cause actual results to differ from those expressed or implied in such statements. These risks include, but are not limited to, those set forth in the Risk Factors section of the Company’s annual report on Form 20-F filed with the Securities and Exchange Commission. Management undertakes no obligation to publicly update or revise these forward-looking statements to reflect events or circumstances after today or the occurrences of unanticipated events. With that, I will now turn the call over to John Gillard, CFO of Trinity Biotech, for a review of the results of the quarter, who will be followed by CEO, Ronan O’Caoimh, for an outline of the progress in sales and marketing and the impact on revenue. John, please proceed.
John Gillard: Thank you, Joe. As Joe mentioned, I will now take you through the results for Q1 2021. Starting with revenues, total revenues for the quarter were $25.6 million compared to $21.2 million in Q1 2020. As Joe pointed out and is our typical approach, Ronan will discuss revenues in further detail later on the call. As such, I will move on to discuss other aspects of the income statement. Gross margin for the quarter was 42.6% compared with 43.8% in Q1 2020. This change in margin has been contributed to by sales mix changes and downward pricing pressure on PCR viral transport media products and associated collection devices due to lower demand, with some customer stockpiling supplies in Q4 2020 thus reducing market demand in Q1 2021. In addition, the increased rollout of vaccination programs as Q1 progressed reduced down the focus on COVID-19 testing with consequently reduced demand for PCR viral testing media and associated collection products. As ever, our gross margin remains susceptible to product mix changes, geographic spread, currency fluctuations and product level variation. Other operating income decreased from $14,000 in Q1 2020 and to $1,000 in Q1 2021 due to the suspension of small ancillary activities at our Irish sites due to COVID-19 public health restrictions. Moving on to R&D expenditure. This remained relatively flat compared to quarter one 2020 at $1.4 million. Meanwhile, SG&A has decreased slightly to $6 million. This reduction is primarily as a result of reduced selling and associated costs. These result in an operating profit for Q1 2021 up $3.1 million compared to $1.7 million reported in Q1 2020, an increase of over 81%. The $1.4 million increase in operating profit is primarily driven by increased revenues, partially offset by the lower gross margin and higher share-based compensation costs. Moving on to financial expenses. This includes the quarterly cash interest cost for our exchangeable notes of $1 million and $200,000 relates to notional finance charges associated with lease facilities. These notional lease finance charges are required by the relevant accounting standard IFRS 16. You will note that there are further non-cash financial expenses of $160,000, which consists of non-cash accretion in the accounting carrying value of the exchangeable notes as required by the relevant accounting standard. Profit after tax before one-off items and non-cash financial expense was $1.8 million compared to $0.4 million in quarter one 2020. As in prior periods and set out in the press release, we quote earnings per ADR effectively or equivalent of EPS on a standard basis and also before the impact of one-off charges and non-cash financial measures. Using that modified measure, earnings per ADR have increased to $0.084 from $0.017 in Q1 2020, while diluted earnings per ADR have also increased, in this case, to $0.101 from $0.053 in Q1 2020. I will now move on to address some of the main balance sheet movements we have seen since quarter four 2020. Inventories have increased by 24% over the quarter, with most of this increase attributable to increases in inventory to support PCR viral transport media and associated sample collection devices. We increased inventory in Q1, in line with the increase in our production capacity and to respond to market feedback that indicated that customers wanted near immediate delivery of these products. We did, however, reduce output from mid-Q1 to manage inventory levels given the aforementioned reduction in demand. We have, however, retained our ability to rapidly scale up production if required. Meanwhile, our trade and other payables have increased by 17% this quarter, driven by a number of items including the receipt of $1.76 million of Paycheck Protection Program loans in quarter one 2021, continued working capital efforts to optimize credit terms obtained from suppliers and accrued interest on our convertible note. These were partially offset by reduced deferred revenue. While we do expect that the vast majority of the Paycheck Protection loans will be forgiven in due course, until they are forgiven, we will continue to account for them as repayable as it has been our policy with prior Paycheck Protection loans received. Trade and other receivables decreased by 34%, primarily driven by strong cash collection efforts and the quarter-on-quarter reduction in revenue, which delivered an increase in net collections versus new credit billings. Finally, I will discuss our cash flows for the quarter. Cash generated from operations during the quarter was $5.9 million. As I mentioned, the Company received just over $1.7 million of second round Paycheck Protection Program loans in Q1, which was a non-operating cash inflow. Non-operating cash outflows during the quarter included capital expenditure of $2.2 million and payments for property leases of $0.7 million. Overall, this resulted in a cash balance of $32.3 million at the end of quarter one 2021, which is a net increase of almost $5 million in the quarter. Thank you. I will now hand over to Ronan.
Ronan O’Caoimh: Thanks, John. I’m now going to review the revenues for quarter one and for the corresponding quarter in 2020 before opening the call to a question-and-answer session. Our revenues for quarter one were $25.6 million compared to $21.2 million in the corresponding quarter, which is an increase of 21%. Point-of-care revenues in quarter one were $1.9 million compared with $3.3 million in the corresponding quarter, which is a decrease of 43%. This was primarily due to a delay in the issue of HIV rapid test orders from Africa as a result of COVID-19, but also due to difficulty in procuring air freight transport. We are seeing evidence of these COVID-19-driven delay abating and we expect that point-of-care revenues will increase as 2021 progresses. In March 2021, we announced that we had submitted our TrinScreen HIV product to the World Health Organization for approval. This product, once approved, will allow the Company to enter for the first time the HIV screening market in Africa, which had 117 million tests annually, is a 12-fold bigger market by value than the confirmatory test market, where Trinity Biotech has for many years held dominant market share with its HIV Uni-Gold product. And meanwhile, we have significantly strengthened our sales team in Africa with a number of senior hires in anticipation of our market entry later this year. The exact timing of the expected approval is difficult to predict, but we are hopeful of an approval during quarter three; although, it is possible that due to prioritization of COVID products by the WHO that the approval could fall into quarter four. We see HIV TrinScreen as a huge opportunity for the Company, given its outstanding performance characteristics, given also our automated low-cost manufacturing capability and given our existing reputation and presence in the market. Moving on to Clinical Laboratory. Our revenues for the quarter increased to $23.7 million compared with $17.8 million in the corresponding quarter, which is an increase of 33%. This increase is primarily explained by strong COVID-19-related product revenues with our PCR viral transport media product being the most significant contributor. We have developed and continue to develop a strong suite of COVID-19-related products. As previously noted, our FDA-approved PCR viral transport media products performed well during the quarter, is a sample collection device for COVID-19 PCR molecular testing, which is used to store the nasopharyngeal swab, which contains the patient’s sample, allowing it to be transmitted in a stable environment. The transport medium stabilizes the sample and prevents bacterial growth and maintains its integrity until such time as the test is run in the laboratory. In addition to our COVID-19 ELISA antibody test, which runs on automated instrumentation and which is available for sale in both the U.S. and in Europe, we also expect to submit our COVID-19 rapid antibody test to the FDA before the end of June, within the next five weeks, under the emergency use authorization pathway, thereby enabling us to sell the products in the U.S. In addition, the Company is developing a COVID-19 rapid antigen test using a nasopharyngeal swab and the test will run in 12 minutes. The test will be manufactured in our automated manufacturing facility in Ireland with the cassette, which is virtually identical to that in both Uni-Gold and TrinScreen. Meanwhile, the Company has also experienced revenues -- increased revenues of our COVID-19 monoclonal antibodies. These monoclonal antibodies are the raw material used in the manufacture of COVID-19 antigen test. Lastly, as a consequence of COVID-19, we have experienced increases in the revenues of our respiratory point-of-care products. During our last conference call, we signaled that there would be a reduction in COVID-related revenues in quarter one. And in fact, COVID-related revenues in the quarter came to a total of approximately $8 million, down from approximately $13 million in the previous quarter. This reduction is explained by a large element of stockpiling prior to year-end of 2020 and a reduction in overall testing levels as vaccinations progress. And now moving back to our core business. Our autoimmune business generated revenues approximately 5% lower than the corresponding quarter with reference to the viral testing volumes down about 10% and product revenues marginally down. We believe that this is entirely due to the COVID-19 pandemic as many patients defer doctor visits unless absolutely necessary. We are confident that these revenues will fully recover in the post-pandemic environment. Moving then to our hemoglobin A1c business. We continue to have lower instrument placements with just over 40 instruments placed during the quarter, which is slightly more than 50% of normal placement levels. This was expected as hospitals and clinics are unlikely to purchase new capital equipment in the midst of the pandemic. However, we are confident that these placements will fully recover in a post-pandemic environment. Meanwhile, reagent revenues and by the time the number of tests being run in our diabetes business are running at about 90% of normal, again, due to the fact that patients are less likely to perform discretionary tests during the pandemic. Meanwhile, we anticipate launching our new midsized hemoglobin A1c instrument in early 2022. This instrument will enable us for the first time to target thousands of smaller hospitals and diabetes clinics around the world, mostly outside of the United States and European Union. Previously, we have been unable to service this market as the processing capability of our premier instrument and also its cost was too large for the requirements of these hospitals and clinics. Although we have designed and developed the instrument in Kansas City, it would be manufactured in China, thereby enabling us to make the instrument available to the market at a very attractive price. Could I now hand back to the operator for a question-and-answer session, please. Betsy?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Paul Nouri with Noble Equity Funds. Please go ahead.
Paul Nouri: Your COVID revenue for the quarter, was it mostly PCR transport?
Ronan O’Caoimh: Yes.
Paul Nouri: Okay. And the antigen test that you’re developing, is that going to be for the U.S. or mainly OUS?
Ronan O’Caoimh: So Paul, if it will be for right around the world. So basically, the test will be manufactured in Ireland on the same automated equipment that we do Uni-Gold and that we’re about to do TrinScreen on. So we have a very efficient cost of manufacturing like under $0.50. So, we’ll be in a position to supply worldwide. So we go in the United States, we’ll go to the EUA route. And in Europe, we go CE Mark. And so that’s our intention. And yes, so it’s progressing well. Admittedly slowly, but it will be a very good test.
Paul Nouri: And you said you’re going to submit EUA for a rapid antibody test, right?
Ronan O’Caoimh: Yes.
Paul Nouri: Yes. I was just going to ask, are they substantially used now, rapid antibody test? And the next question, I guess, would be, is the -- the primary setting for it be the hospital or?
Ronan O’Caoimh: Right. So Paul, what we have is we have already developed a very excellent COVID-19 antibody ELISA test. So, that’s a test basically that runs on instrumentation in a laboratory, right? And that is basically at both EU and EUA FDA approval. So, we’re free to sell in each of those geographies. The actual sales that we achieved have been disappointing. I think everybody has seen that the level of antibody tests that have been expected didn’t actually materialize. And that the focus has been mostly on PCR testing. And then obviously, to a lesser extent, on antigen testing, but to a modest extent on antibody testing, so three more kind of population tests and that kind of thing, and so -- but in addition, in addition to that, we are about to submit to the FDA in the next -- under the EUA pathway in the next five weeks our antibody rapid test, right, which has, I think, which we believe would have greater potential for selling than the laboratory-based antibody test. Did that answer?
Paul Nouri: And then as -- at least for now, we’re shifting to reopening in the U.S. Different countries around the world are experiencing COVID in different ways. Some have lowered their COVID cases way earlier and some are actually still rising. So as you look at your markets, are there places where the revenues in your traditional businesses are back to where they used to be? Or is it pretty much across the world, that’s not the case.
Ronan O’Caoimh: We’re experiencing basically that everything is down. I’m probably about 10% on that, say, if I was to average out. And it’s just that particularly in the case of diabetes, right, which is somewhat of a discretionary -- the A1c test that a diabetic would do every three months, there’s a discretionary element to it if you were to wait four months or whatever. So to some extent, we were finding that patients don’t present to the doctor in the middle of the pandemic. And that’s less the case in our autoimmune business. I think one of the principal targets we’ve had with HIV is that getting applicants -- it’s actually getting the product there because air cargo has become really, really precious and difficult to procure, particularly into remote areas of Africa. So -- but what we do believe is that all of those business components will normalize back to the previous levels as soon as the pandemic is largely passed and people are largely vaccinated.
Operator: The next question comes from Jim Sidoti with Sidoti & Co. Please go ahead.
Jim Sidoti: Great. So I believe I heard you said the transport media COVID revenue was around $8 million, down from about $13 million, so about -- down about 40% from Q4. Can you give us a sense on where you think that will trend for the rest of the year? Is there a baseline level that you think continues even as the vaccines roll out?
Ronan O’Caoimh: Well, just to say that, firstly, we didn’t say that the transport medium was $8 million. We said that all of the COVID-related products totaled $8 million, just to make that point, Jim. But given the many variables involved, including vaccinations and variants, it’s difficult to predict future demand for the COVID-related products. And therefore, we’re really not giving revenue guidance in the circumstances, Jim, just impossible to predict.
Jim Sidoti: All right. But I mean it seems like it’s likely that it will decline from that $8 million level in the second and third quarters. Is that reasonable to assume?
Ronan O’Caoimh: I think it is reasonable to assume. But again, we don’t really -- it’s reasonable to assume, but we don’t have great visibility on it. It’s reasonable to assume, but it may not happen, but it probably will. To what extent, we’re just not saying because we don’t really have the visibility on it, and again, with product new products coming through also.
Jim Sidoti: Right. And then I assume some of those products are used in regions where the vaccine is still pretty dominant outside the United States, is that correct?
Ronan O’Caoimh: Yes. Although most of our revenues actually have been in the United States, just make that point.
Jim Sidoti: All right. You mentioned some hires in Africa in anticipation of TrinScreen. Can you give us some color, what type of folks you hired?
Ronan O’Caoimh: Right. Yes, well, we basically were in a position to hire the most senior person really of our main competitor, basically. And our main competitor was involved in an acquisition in the last few years, a big acquisition. So, anyway, so we were able to basically make a really, really good hire of a very, very senior person. And then that person has brought in some of his previous reports. So, we have actually a really strong team in position to take on this TrinScreen challenge and indeed to increase our Uni-Gold market share, and indeed to sell the rest of our range of products. But our primary focus is on TrinScreen, 170 million tests per year.
Jim Sidoti: So those folks are primarily sales and distribution type folks, it sounds like. Is that correct?
Ronan O’Caoimh: Yes. This will be basically -- yes, sales guys. So it’s right across Africa.
Jim Sidoti: Got it. Got it. I know I heard you. Okay. So I know the next two or three quarters is going to be very hard to predict because you’re not sure how fast the COVID business will trail off. But longer term, do you think the TrinScreen business has the potential to at least offset, if not become a larger business than your COVID business was in 2020?
Ronan O’Caoimh: Well I mean, to deal with that, I mean, the screening market is 170 million tests per annum in Africa and the typical price -- and the price is $0.80, right? I mean that works out at about $140 million or whatever. And basically, we believe that we can take a reasonable market share. I mean the performance of our test in terms of sensitivity and specificity was staggeringly excellent, I could say that it is just remarkable. And so the test works very well. We know the market. We have a good reputation in the market. I mean we have been selling the gold standard, Unico test is basically commands the highest price in the market for the last 15 years. So we clearly have, I mean, a very good reputation in the market. And in addition to that, then we can manufacture the product in a very cost-efficient manner in Ireland on an automated system that can -- that has basically almost unlimited production capability. So -- and in addition to that now, we’ve beefed up our team with some serious hires from the very people that were selling the majority of that 170 million tests. So I think And in addition to that, I see no doubt, but that we’ll get WHO, World Health Organization approval. It’s only a matter of when rather than if. You take all of that into consideration and given an intention to marginally undercut the market leader, remember, the market leader has about 80% market share. We believe that we can take a reasonable market share. And if you ran the numbers basically, yes, the potential here is a lot greater than the COVID opportunity, which will probably gradually evaporate. So yes, the answer to your question is yes, Jim.
Jim Sidoti: Okay, all right. And how quickly do you think you’ll see that sales pick up? Are there tenders that you need to win? And how often are they put out? And do you expect to start winning tenders this year?
Ronan O’Caoimh: All right. So As I indicated, we believe that we will get approval sometime in quarter three. It’s possible it may be quarter four. We’ve sought to try and get clarification from the WHO on that. They’re being a little bit coy in terms of indicating what the timing will be. But I think we hope to get there in quarter three. The actual route to market in individual countries, it depends on being basically placed on the algorithm. So the algorithm will indicate which product would be the screen of what product we do confirm. And in some instances, the screening can be split. You kind of have a couple of kind of companies in there. So we believe that as the algorithms come up through renewal, and they basically tend to come every two years, that will be in every single time, we’ll be in there and we’ll win some and we won’t win other. And we’ll share some of it. So we believe it’s realistic to take sort of a 25% market share over the course of something like three -- between three and five years, that kind of thing. So in the context of our size, it’s a very, very significant opportunity.
Jim Sidoti: Okay. And then the last one for me is on the A1c instrument that you plan on rolling out next year. What’s the strategy in terms of pricing? Do you charge the instrument? Or do you basically let the customer use the instrument in exchange for contract for disposables?
Ronan O’Caoimh: Well, in fact, in essence, we’ll be primarily selling the instrument because the only markets in which we sell direct where we would actually place an instrument and carry the cost on our balance sheet, et cetera, is really in the United States and in Brazil. So in the United States, this instrument really won’t -- we may not even bother actually bringing into the market. The U.S. has typically bigger hospitals. So we’re really not focused at all in the U.S. So, yes, we will place some on our balance sheet and when we basically reagent rentals in Brazil, but the main focus where we will sell this instrument to our distributors right around the world who will then basically do the reagent rental themselves. So what we’re endeavoring to do here is to provide an affordable instrument and to place at large volumes. We don’t really endeavor to make any reality any serious money out of the actual instrument placement itself, but rather -- and so basically, we’re a razor-blade model. So we placed to raise or just marginally over cost and seek to profit from the sale of the blade, so the reagent. So it’s all about selling the reagent. So, basically, typically, our instrument at the moment, Premier goes into hospitals that will run, say, 10,000 or more tests per year. And the sweet spot for this instrument is between sort of 3,000 and 8,000 tests per year -- sorry, test per year. So it’s got a lot -- it’s a huge potential. I remember we’ve got instruments placed all over the world, all -- basically all over the second world, third world, and that will be primarily our focus.
Operator: [Operator Instructions] Our next question comes from Bill Lapp [ph] who’s a private investor. Please go ahead.
Unidentified Analyst: Things were pretty well covered. I have some questions though on why we’re spending the time on the rapid antibody test and the rapid antigen test? It seems like the market is pretty competitive, and it seems like we’re late. So, I’m wondering what the thinking is? I don’t think the autoimmune lab testing you did much. I don’t know if you said the sales were minimal. They were nothing. So can you explain why you’re pursuing the rapid antibody test and the rapid antigen test when there seems to be plenty of competitive products there and you haven’t even been approved for the rapid antibody test in the U.S. and you’re spending money for the rapid antigen test? Would you see a big market you’re going to capture? What’s the thinking for going forward on this?
Ronan O’Caoimh: Bill, nice to hear from me. Just to say, by the way, Betsy will close the call after this question. But -- so I would hate -- I concede that the -- I would concede that the antibody test basically has disappointed in terms of the size of the market. Having said that, I think that there’s a greater market potential for the rapid antibody test than there is for the laboratory-based one. And it’s for that reason that we are actually finishing basically the launch of the product by submitting to the FDA in the next five weeks. But I would concede that, that part is unlikely, at least as we see things at the moment, to be a huge revenue generator. But in response in your question about antigen testing, I think that antigen testing will remain. And I mean, COVID -- although the populations will largely be vaccinated will be with us for the future. And I think the COVID antigen test would be a very important part of the armory of Trinity Biotech given our ability to manufacture sort of under $0.50 on an automated basis.
Unidentified Analyst: Okay. So you’ll be competitive with the Abbott test. And I just sent John, an article in Minneapolis paper about the testing that they’re doing here. But a lot of companies are requiring the test be given. So I’m just -- I just wondered if you think you can penetrate that market even though you’re a little late because of the rapidness and the cheapness of it, right?
Ronan O’Caoimh: Yes. Yes. Yes.
Unidentified Analyst: Okay. And when do you expect that to be done, the rapid antigen test? When do you think you’ll have that ready?
Ronan O’Caoimh: We we’re just basically not going to give a prediction on timing here that we don’t mislead. And so we’re just not committing a time line on it, but we’re working as quickly as possible on it.
Unidentified Analyst: Okay. And that will that be an EUA grant?
Ronan O’Caoimh: We’ll be using the EUA pathway again. Yes. And then Europe, we’ll just CE Mark.
Unidentified Analyst: Okay. All right. All right. Well, I can see why you’re -- on the last call, you mentioned your most exciting thing was the WHO and the TrinScreen. And I think I understand why and what the volume that makes sense, so good luck on getting that in the third quarter. Thank you for allowing me to ask a question.
Ronan O’Caoimh: All right, well, thanks to everybody for joining us this afternoon and for your support and interest. And so good afternoon, and speak to you at our next conference call. Bye-bye.
John Gillard: Thank you everybody. Thanks for your time.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.